Operator: Greetings! Welcome to Aqua Metals Full Year 2021 Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. You may submit a question via the web at any time by using the "Ask a Question" feature on the side of your screen. [Operator Instructions]. Please note this conference is being recorder. I will now turn the conference over to spokesperson, Glen Akselrod. Thank you, you may begin.
Glen Akselrod: Thank you, Operator. Welcome to Aqua Metals fourth quarter and year end 2021 results conference call. Earlier today Aqua Metals released financial results for the quarter and year ended December 31, 2021. The release is available on the Investors section of the company’s website at www.aquametals.com. Joining us for today’s call from management is Steve Cotton, President and CEO; Judd Merrill, the company’s Chief Financial Officer; and Ben Taecker, Chief Engineering and Operating Officer. During today’s call, management will be making forward-looking statements. Please refer to the company’s report on Form 10-K filed today, February 24 for a summary of the forward-looking statements and the risks, uncertainties and other factors that could cause actual results to differ materially from those forward-looking statements. Aqua Metals cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur, except as required by law. As a reminder, after managements formal remarks we will be taking questions. Questions will be accepted over the telephone from analysts and all other investors can submit a question using the online webinar portal provided in today's and last week's press releases. We will take as many questions as we can in our available time slot. And with that, I would like to turn the call over to Steve Cotton, CEO of Aqua Metals. Steve, please go ahead.
Steve Cotton: Thank you, Glen. And welcome and thank you everybody for attending today's call. And I will start and I'll read off the slide numbers and all of us will read up the slide numbers as we go through the deck so you can follow along if you're offline. So the first slide is Slide 1, about Aqua Metals' leading revolution both in lead and lithium battery recycling. And Slide 2, Glen basically just read to you the Safe Harbor, it's for reference on the website. Slide 3, starts off with our mission. And that is to provide sustainable metal recycling for materials that are strategic to energy storage application. And our proven technology which we call AquaRefining returns those raw materials back into the manufacturing supply chain in a clean way and an economical way that reduces the reliance on mining to meet demand and growing demand for all these minerals. Slide 4, clean metals is really in terms of recycling is key to our future. You can see the quotes there both from the U.S. Secretary of Energy as well as the U.S. Department of Energy. And I'll point out that AquaRefining uniquely uses the renewable electron verses fire or chemicals as the re-agent which is really in support of what the U.S. Department of Energy is saying here which is the vision is for a global production of metal using just air and water and clean energy as inputs. If you use the electron as the re-agent, you have the ability to vastly reduce the emissions and make it worthwhile to electrify the world and recycle the batteries in that close loop. Slide 5, is pointing out that AquaRefining for lead and AquaRefining for lithium are really the only technologies that in line with that vision and supporting that is that is room temperature in a closed loop in a fundamentally non-polluted process if already commercially proven the extraction of lead and a proven and cleaner and more cost efficient recovery and recycling process. We also produce a higher quality product because we plate metals, we plate ultrapure metals in fact very high purity is the command, higher values in the market place. We're expanding the lead into lithium recycling and you'll see the listing of minerals there such as cobalt, and nickel, and manganese, and coper, and lithium and we'll get into some more detail on how we're doing that and our status as we move forward through our development process in our lithium space. And this whole area of technologies and suite of AquaRefining technology is a patent protected and I'll get into more details on that a little bit later. Slide 6, really shows our journey as a company and I'm not going to read all of these milestones to you all but I'm going to point out that in the last quarterly update call, the green area is the future, the blue area is the present and the past. And we've moved to the present and past really the September and the December milestones. And the key milestones that we've had recently that we're reporting on is that we've achieved large scale testing of the lithium-ion recycling while we also shift AquaRefining for lead equipment to our first licensee and partner in Taiwan. So if you look forward and look at the green portion of the area, you will notice that in August of '22, we expect to achieve operational testing of the full-size lithium-ion AquaRefining recycling unit and then by early next year potentially a full-scale development and deployment of AquaRefining for lithium-ion batteries. Our ticker on the stock exchange is AQMS on NASDAQ; our corporate headquarters is in Tahoe Reno area of Nevada. We incorporated in 2014 and as of the end of the year we had 70.4 million shares outstanding. And the cash in hand is $8.1 million as of 12/31 and we are debt free with a strong balance sheet and Judd will speak to our financials in more detail coming up in our discussion today. Moving on to Slide number 7, we're going to get into the highlights of our accomplishments for 2021. This is the year of 2021 summarized in two slides. First off, we wanted to really brag about our innovation center that we did open up in the Tahoe Reno industrial center, this is a separate facility just less than a mile away from your original AquaRefinery that we sold to LiNiCo with the emerging lithium-ion battery recycler. And our innovation center has really focused on the development and approve out of the lithium-ion battery recycling technology. We also developed our third generation Aqualyzer for lead and completed that in a year and that resulted in a 300% improvement in the production as compared to the original model that we ran 24/7 in 2018 and 2019 and that version of shipping to our partner in Taiwan. We also increased our ownership throughout the year in LiNiCo by 20% through some exercised warrants. Our patent portfolio increased pretty significantly for the year to eight U.S. and 63 international patents from six and 40 international patents in the prior year and the lithium-ion patent application did convert from a provisional recently to a non-provisional patent. And expect to see a lot more activity from Aqua Metals in terms of that prosecution because we do take the IP very seriously. And ensure that we protect it on a global basis. We signed our agreement with ACME Metal and that agreement has to deploy and license AquaRefining equipment at its facility in Keelung, Taiwan. And we also did our final insurance settlement and payment in collection of $5.25 million. So a total of $30.25 million in total insurance proceeds collected from the 2019 fire event. Moving on to Slide 08, a little bit more on the progress of the innovation center since we've established it through the year. And that is with the lithium-ion battery recycling R&D is well underway. And we completed in already lab tested plating of cobalt. We believe that the cobalt plating is the first cobalt has been plated from lithium-ion batteries in a metal form. We're also targeting a pilot circuit to produce materials by Q3 of this year in that innovation center on the pilot circuit. We've also established a collaboration agreement which is really important with LiNiCo. LiNiCo stands for Lithium Nickel Cobalt and again that's the company that purchased the AquaRefinery which is about a 140,000 square foot facility that's about a mile away from our innovation center in the Tahoe Reno industrial center. And that collaboration agreement anticipates commercial production beginning to scale by late this year and getting into early 2023. The focus on that collaboration agreement really is that LiNiCo will focus on the lithium-ion battery breaking and separation and creation of black mass which is the amalgam of the minerals that need to be recovered and Aqua Metals will focus its technology and efforts through the innovation center on extraction of the various minerals and from that black mass. We also added some very important strategic capabilities for the year. The first is Dave McMurtry as our Chief Strategist. You can find the profile of Dave McMurtry on the "About Us" "Management Team" section of our website and I recommend you go and look at Dave's background in strategic corporate activities. Dave is also spearheading our relationship with Silver State Government Relations that's also headed up by Sarah Adler who was really a champion for Aqua Metals in achieving our U.S. Department of Agriculture $10 million loan that we repaid early to de-risk and establish our technology. And we're working with her in Silver State Government Relations as it relates to lithium battery discussions with local and national politicians. Justin Chen also joined us as our Asia PAC regional leader. Justin comes from a deep background of lithium-ion space and is also helping us with our efforts with ACME in Taiwan in building those relationships with ACME's customers. We also shipped the first shipments to ACME metals and expect soon to be in the installation and commissioning efforts later this year. Next Slide number 9, summarizes the latest status of our really robust and strategic IP portfolio and you can see here the coverage being the blue dark blue issued and allowed patents and then the lighter blue the pending patents recovering the space that we intend to operate it because remember, our model as an enabler is technology and licensing and it's also strategically beneficial because it's geographically unbound and we can take AquaRefining technologies anywhere in the world. The next Slide number 10, talks really about the lithium space and the really truly massive market opportunity as lithium-ion recycling grows. The predicted volumes of used batteries really make it imperative that the recycling is done and to begin with because today only 5% of lithium-ion batteries are recycled, the rest of it them aren’t. And the industry aims to get back to a 100%. But to get there is one thing but to get there sustainably is another. And that's back to the point of the technology that are underlying AquaRefining technology enables and we'll be getting into some more detail on the differentiators there shortly. But to summarize here, we really estimate our total addressable market to be about 10 billion by 2025 and 31 billion based on a 2030 timeframe and the AquaRefining recovery rates that we'll be getting in some more detail on. So it's a very rapidly changing and growing a new industry and it's going to be very complimentary to the lead industry in the sense of our business mission because you got an established lead industry that we're innovating and working to evolve and then a new lithium-ion battery recycling industry that we believe we got some really differentiated technology. And to do justice to describe that technology, I'm going to ask Ben Taecker who is our Chief Engineering and Operations Officer to take everybody to the next two slides and describe what it is about AquaRefining that makes us special and unique. So I'm going to hand it over to Ben. Go ahead, Ben.
Ben Taecker: Thanks, Steve. In comparing AquaRefining to existing smelting operations and hydro operations under development. AquaRefinery has included advantages. Smelting requires positive shipments to large scale smelters strategically located throughout the world where AquaRefinery is quite modular and could eliminate that. Smelting also doesn't recover all of the metals and has a high impact on the environmental and worker safety of the operators. The hydro, pulling is one of the largest challenges at cost. And that's driven by the mix of battery, the ability to step recipe for that mix as well as high chemical usage and high chemical output as a result of the different types of batteries coming in. AquaRefinery however can be recycle the chemicals and also recovers all of the metals in a very high value format. Which could easily be sold back into the battery industry or into the metals industry giving them flexibility and potential higher profits. Moving on to Slide 12. Again, lower operating cost is one of the big advantages and that's really driven by the reduced processing as well as the lower chemical usage compared to the other opportunities out there. AquaRefinery well having that lower converting cost also produces the highest value product output as a result of the high efficiency recovery of all the metals higher than you need the other potential options out there as well as new types of form asset incorporated in. Looking forward to the business model, again because of modularity and because of the environmentally friendly process, we can put this anywhere. We can put this right next to the existing operators and support them in their growth in an environmentally friendly way to produce high value metals to be sold back into the market. The environmental and worker safety impact from a low temperature, lower processing, lower chemical usage process, our clearer advantage the AquaRefinery. And with that, I'll turn it over to Judd to go through the financials.
Judd Merrill: Thank you, Ben. Moving on to the financials, we ended the year in solid financial position in our expectation for the year and placing us in good shape for the year to come. And then you first make some comments on our balance sheet. As on December 31 2021, cash and working capital balances were $8.1 million and $8.4 million respectively as compared to cash of $6.5 million working capital of $4.9 million as of December 31, 2020. This places us in stronger financial strength at the end of this year as compared to in the prior year. We accounted for certain assets with the net book value of $2.6 million as assets held for sale. Due to non-core assets and are no longer necessary for our future operating plans. In fact, subsequent to year end we sold some of these assets to LiNiCo totally approximately 8,00,000 and an additional 6,00,00 non-core equipment to other vendors. As we mentioned in prior quarters, we accounted or the lease to buy agreement with LiNiCo as a sales type lease, as a component for the accounting for this agreement, we recognize the fair value the land in the plan of approximately $70 million of lease receivable. And during the fourth quarter 2021 LiNiCo made their first required deposit of $1.25 million. The deposit is nonrefundable, however, it will be applied to the purchase price of the building at the time and now is due in for. We believe that LiNiCo wants to pay off the building later this year and in fact they are incentivized to do so. Accrued liabilities includes approximately $2.3 million in remaining cost to repair the plants, the plant repairs were successful and the portion of the plant damaged by the fire now looks brand new and it is in great condition. The plant looks amazing and the cleanup and repair efforts were very successful. LiNiCo's perfect sign enclosed to beginning their installation of equipment's. Moving on to the income statement. Cost of product sales increased approximately 28% for the 12 months ending December 31, 2021 as compared to the prior year. Cost of product sales for the year increased as a result of the plant cleanup cost and preparation for the lease and eventual sale of the TRIC facility. If you look just at the basic cost of product sales without the cleanup, without the plant cleanup cost, our cost of product sales have been very consistent even for the last [two] years. And we expect these costs to actually come down from one in 2022. During the 12 months ended December 31, 2021, the research and development cost shifted to primarily lithium-ion recycling as lead recycling product development concluded, were also decreasing overall for the year by approximately 9% compared to 2020. Research and development is a key part of our business strategy includes our focus on continuous product improvement of the company's proprietary technology for the lead acid battery recycling. And further advancing our development related to the application of AquaRefining to the lithium-ion batteries. General and administrative expense increased approximately 8% for the 12 months ended December 31, 2021 compared to the 12 months ended December 31, 2020. The increases in general administrative expense included changes in stock based comp in addition to the increase in legal expenses and insurance premiums. Our G&A expense has been consistent likewise for the last two years and in line with our expectations. In conjunction with our year-end accounting, we recognized a non-cash impairment charge for the years ended December 31, 2021 and December 31, 2020; a $0.5 million and $11.7 million respectively. Subsequent to an analysis of our fixed assets and the right down the fair market values. We recognized a loss on the sale of assets held for sale of approximately $1.4 million during the year-end December 31, 2021, as a result of disposals completed in conjunction with the plant cleanup. In addition, we recognized a loss on the sale of assets at $3.5 million recognized in conjunction with accounting for the repurchase arrangement or the company's in McCarran, Nevada facility. Net loss for the year was a negative $18.2 million and basic and diluted net loss per share was a negative $0.26 per share. And that was in line with our management guidance and expectation. Just to report, the company does have a Federal NOL to report of approximately a $135 million of which they do not start expiring until 2034. My final comments are related to cash flows, net cash use and operating activities for the year ended December 31, 2021, and December 31, 2020, was $7.6 million and an $11 million respectively. This covers our OpEx and our G&A cost and was adjusted for non-cash items the details of which are in our 10-K. We don’t see cash use for operations growing in the near term even with added new hires and strategic consultants who add to our bench strength and our team we believe these costs will be the increases in cost will be partially offset by reduced cost elsewhere such as reduced cost has been moved out of the plant early this year. And cash used in investing activities for the year ended December 31, 2021, was $2.2 million compared to the prior of $6.6 million. Net cash in investing activities during these periods consisted primarily purchased this for fixed assets and insurance proceeds received. And then finally, net cash used or net cash provided by financing activities for the year ended December 31, 2021 consisted of $10.2 million, net proceeds from ATM share sales. The majority of the ATM proceeds happened in the Q1 was a very little use for the remainder of the year. And our strategy with the ATM has been it seems to be that we tried to use it when there is only strategic opportunities to invest. I will now turn the time over to the moderator to begin the questions and answers portion.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much, guys. Can we start with just monthly cash flow? I just want to make sure we fully understand how much you guys are spending on a monthly basis and when you are expecting LiNiCo to actually close on the full works sort of those in at this point?
Judd Merrill: Hi Colin, this is Judd. Thanks for the question. So our monthly cash outflows have been very consistent with what we saw in 2021, which is about $700,000 and $750,000 a month for G&A and OpEx. Now we've had add -- we've added some capabilities to our team but that number is not really changed a lot because we've been able to reduce some of our OpEx cost in other areas. So that should be pretty similar going forward, that's what we expect. And then on the terms the LiNiCo, they are incentivized to pay off the building by October 1 of this year. And so, they have the option to here put a $2 million additional deposit and then the pay update would be stretch out to March of 2023. But that if they do that, it cost an extra million dollars, so then incentivized to make that payment in October. And we believe that they want to do that. And they do that $13 million that would be coming in a couple of quarters for now.
Colin Rusch: Okay. That's super helpful. And then, in terms of the process for some of these normals particularly in the lithium side. Can you talk a little bit about where in terms of the partnership development customer interest on this? Obviously there is an enormous opportunity. But I want to understand kind of as you get closer to tangible validation or you at in terms of commercial relationships at this point?
Steve Cotton: Yes Colin, it’s Steve. So thanks for that question. And yes, we are engaged in both sides of the ecosystem we would call it on the feedstock side, we already have feedstock coming in in the form of both black mass and in the form of lithium-ion batteries for the lithium-ion side of it. And just we haven’t announced anything specific to that at this point-in-time. On the offtake side, as we begin to generate material, we're in lots of conversations because there's people that are quite interested in the fact that we plate metals and that we create but a really interesting combination of materials including the compound such as like a lithium hydroxide. And so, we're setting the stage for analysis of the materials to come up of our pilot systems and what more to say about the whole ecosystem side of things in the future.
Colin Rusch: All right, perfect. Thanks so much guys.
Steve Cotton: Thanks.
Operator: Thank you. Our next question comes from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Yes thanks, Steve, Judd, Ben. Thanks for your time and taking my questions. It’s the units that have been tested right now, expected to be operational by August of this year. What exactly is being done, are you working on improving yield or are you working on improving the purity level or it's just an optimization improvement overall?
Ben Taecker: Yes, thank you. That's a great question. This is Ben. We're currently working on optimizing the size and the layout of each piece of equipment. We're actually running out a large scale operations and adjusting size and dimensions as needed to allow to meet that time line that we are on target for.
Sameer Joshi: Okay. And in terms of cost, I think Judd referred to this costs remaining stable over the next few quarters. How much additional cost, is this perhaps is taking the operational testing or is it included in the OpEx and not capitalized?
Steve Cotton: Yes. So there is a -- there's two piece with kind of to our whether it's in OpEx and that's those numbers are included in that what I'd say that the 700 to 750 a month. We do have additional R&D work that is related more to the lithium side that we did. And then, last year was about a $1 million, we'll see that increase a little bit this year. A little bit, maybe even little more. But that 750 includes that OpEx related to the lead work that we're doing. Okay.
Sameer Joshi: Okay. And then, do you milestones internally set up to as it as far as Asia has become a concerned. What are the next steps there, should we expect any announcements about on any milestones or any key events?
Steve Cotton: Yes. So we'll be -- we showed the timeline slide showing the major milestones that we'll be talking about for the remainder of the year. But there'll be as developments happen, we'll be providing information on the metals that we plate and the progress that we make technologically throughout the process as well as commercial arrangements. And I think going on this length. So, there'll be a continual update in communication stream to everybody as we work through the year.
Sameer Joshi: Got it. And then one last one, I think you own around 12% of LiNiCo right now, if I'd had it right. Is there any possibility of increasing that further or is that now you're reached your what all agreed to maximum?
Steve Cotton: Yes. So the original agreement a lot of about 10% which we invested in last year and then we have some awards that we could exercise until increase our ownership by 20%, which we did just recently. And so then just around 12% ownership. And then we, in the fall we signed a collaboration agreement, we're getting some work done. So right now both percentages will probably holds pretty steady. Obviously there is some great work that we're both doing together and so we'll see how that plays out but right now I don’t see any change in their ownership.
Sameer Joshi: Got it. Thanks. I will step back in the queue.
Steve Cotton: Thanks, Sameer.
Operator: Our next question comes from the line of Shawn Severson with Water Tower Research. Please proceed with your question.
Shawn Severson: Hey, thank you. Good afternoon, everyone. Steve, I was wondering when you look at the -- in the state and government targets, obviously you're spending more effort there. What things are on the horizon or out there there would be logical free to go after in terms of grants, funds, or is this with more regulatory environment. Just can you clarify where you're going down that path?
Steve Cotton: Yes thanks, Shawn. There is a lot of activity in that area. And as I mentioned earlier in the presentation, we brought in Dave McMurtry as our Chief Strategist. He's working with Silver State Government Relations. And it's a multi layered approach. One is going for the traditional DOE type grants and grants that are associated with the extraction of critical minerals are out there. There is more-and-more coming that are related to this area, particularly with the pass of the infrastructure bill. And there might be more down the line and feel back better in some form or another gets passed. But also, we're working with our local government folks here in Nevada. Because Nevada's becoming quite the minerals state. It's originally called the Silver State for that matter but there is a lot of activity in this area. And our local politicians are quite interested in what we and other players are doing, so we're interfacing with those folks as well as on the hill. And inclusive of our neighbor state California, et cetera. So there's lots of activities on that front. And it seems like not a week goes by where we're all learning of new things that are loan related, grant related, et cetera. So there is no shortage of dollars that are being thrown into the electrification space. And we see Aqua Metals is in a great position to pick up some of those funds, which would be grateful, all of our shareholders because it's non-dilutive.
Shawn Severson: Absolutely. Next question is I'll turn the conversation with the battery company the other day. And the topic came up really about them having interest in recycling their own lithium metal lithium-ion batteries. And as I started thinking about it and wondering where in your world where the drivers might come from for something like this. I mean, if you had conversations with automotive, there are automotive OEMs thinking about this like look we want to recycle our batteries, we want a path and track that and reuse it or something the same with the battery company. Was that something that would seem to have traction or trying to understand as this one's straight to kind of a cusp spread out commodity model for recycling?
Steve Cotton: And so, it's interesting question because when you look at that ecosystem, there are cell manufacturers, there's EV manufacturers and there's even major users of lithium batteries that are out there that are interested some in verticalizing such as you said with this recycling their own batteries that either they make or build packs from or distribute and use and collect. So some of the opportunities we're talking to we're looking at that full verticalization. What's great about our business model is that we're an enabler and we could help those parties fully vertically integrated if they so choose or if they would like to work with us on a joint venture or other forms to apply our technology in their space. That is another way of doing it. Look at LiNiCo, was an example where we have a coownership of LiNiCo and so that's one example of where we're taking the [indiscernible]. So again our models really geographically inbound but also kind of business model inbound. And the key to it all is making sure that our technology which we think is going to extract the highest value of materials with a least amount of waste streams is going to be quite appealing as we continue with these conversations with players in each and every category. So it's been exciting years, we did work through all these meetings and discussions to see how the commercial pieces of our efforts come together.
Shawn Severson: And so, last question is maybe more for LiNiCo management than you but what types of things should we expect out of them and your relationship there as we look forward and your timeline roadmap and I know regarding their own business. But what could we look for that's relevant to Aqua Metals coming out of there over the next six months and 12 months.
Steve Cotton: Yes. So, as we say, we're going to be getting our pilot operating later this year that will go from the black mass forward. Or you'll see with LiNiCo are things about equipment being turned on in the facility to begin their focus which is on the battery collection breaking separation and creation of that black mass. LiNiCo will provide those updates for LiNiCo, we will provide our updates for our technology as it goes into that facility. And it's really a great partnership because it's quite an effort to do with the equivalent of the Spoke which is the battery breaking and separation black mass creation. And the hub part of it which is really our technology combined, that we'll communicate more about the hub, they'll communicate more about the Spoke and they'll communicate more about the overall integration of the two in their facility.
Shawn Severson: Okay, thanks Steve. I'll take the rest of my questions offline.
Steve Cotton: Okay, great. Thanks.
Glen Akselrod: And thanks for that, Steve. We have no other questions in the queue for the phone unfortunately. Yes, but we do have a few questions in the queue online and actually I think the question that we'll start with is the one that you sort of just addressed but maybe expand on it. And the question is "LiNiCo has been promoting their own in-house process for lithium recycling. Can you clarify what portion of the process is LiNiCo's job and what portion is expected to be Aqua Metals?
Steve Cotton: Yes. So, the LiNiCo focus is really on the battery breaking and separation and creating what we they and we consider a very innovative way of creating a superior black mass product which again is the amount involved with the metals and compounds that can be then extracted. What we're really stepping into do is to focus and take that black mass forward towards the extraction of the various minerals and compounds. And Ben, you may have something to add on that front?
Ben Taecker: No. I mean, one of the great things about the LiNiCo process is we've been able to work directly with their engineers and set up their front end process to allow us to come in and take their black mass and effectively extract the different metals. And they help recover all of the metals out of the black mass.
Glen Akselrod: Okay. Super, thank you. Just thinking about LiNiCo then, there's a question in terms of where do they get their feedstock and we currently have any contracts with I guess battery companies that they received their feedstock from?
Steve Cotton: Yes. So as Aqua Metals, we won't really release feedstock agreement information and speak on their behalf but just to share that there's plenty of discussion that they and we are assisting them with or having with varied feedstock providers. So I think people will see communications around that piece of it as we work through the year.
Glen Akselrod: Okay, super. Thank you, for that. Now I've got a few questions around this topic. So maybe what I'll do on, and I'll just paste, paste all the questions into one and then you could pull it or give us answer. And it's regarding ACME. It's regarding the timing of ACME and then at what point does ACME begin to scale and potentially generate revenues for you?
Ben Taecker: Yes. This is Ben, I'll take that question. ACME as they're receiving equipment right now on site. Is preparing for an install that will start here really like Q2 and a completion of that install in Q2 with commissioning starting late Q2. At the end of commissioning is when we'd really see that things scale to as more potential.
Glen Akselrod: Okay, thank you. There are no further questions in the queue that I don’t believe you've addressed during this question and answer period. Some closing comments for you then, and I guess we'll end the call.
Steve Cotton: Yes. So, thanks everybody for attending. And again, we will be providing news updates throughout obviously in between these calls. We're really excited about some of the milestones that we ever had. I think everybody knows what we're after. And I think that you guys can all just stay tuned and please stay in touch with the company. Make sure you subscribe to our Twitter feed if you haven’t already. And we look forward to talking next quarter at a minimum.
Operator: Thank you. This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.